Operator: Thank you for standing by, and welcome to Duck Creek Technologies’ First Quarter Fiscal Year 2023 Earnings Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the call over to Brian Denyeau from ICR. Please go ahead.
Brian Denyeau: Good afternoon, and welcome to Duck Creek’s earnings conference call for the first quarter of fiscal year 2023, which ended on November 30th. On the call with me today is Mike Jackowski, Duck Creek’s Chief Executive Officer; and Kevin Rhodes, Duck Creek’s Chief Financial Officer. A complete disclosure of our results can be found in our press release issued today, which is available on the Investor Relations section of our website. Today’s call is being recorded and a replay will be available following the conclusion of the call. Statements made on this call may include forward-looking statements regarding our financial results, products, customer demand, operations, the impact of COVID-19 on our business and other matters. These statements are subject to risks, uncertainties and assumptions that are based on management’s current expectations as of today and may not be updated in the future. Therefore, these statements should not be relied upon as representing our views as of any subsequent date. You should not rely on forward-looking statements as predictions of future events as actual results and events may differ from any forward-looking statements that management may make today. Additional information regarding the risks, uncertainties and other factors that could cause such differences appear in our press release and Duck Creek’s latest Form 10-K and other subsequent reports filed by Duck Creek with the Securities and Exchange Commission. We will also refer to certain non-GAAP financial measures to provide additional information to investors. A reconciliation of non-GAAP to GAAP measures is provided in our press release, with the primary differences being stock-based compensation expenses, amortization of intangibles, the change in fair value of contingent earn-out liability and the related tax effects of these adjustments. With that, let me turn the call over to Mike.
Mike Jackowski: Thank you, Brian, and good afternoon, everyone. Let me first start by wishing all of you and your families a very happy new year. I’m pleased to report that Duck Creek is off to a strong start in fiscal year 2023 as we exceeded all of our key operating metrics in the first quarter. We continued our business momentum from the fourth quarter and signed a number of transactions with new and existing customers for Duck Creek’s OnDemand core products, as well as our expanded portfolio of strategic insurance solutions, like distribution management and reinsurance management. As expected, P&C insurers are successfully adapting to the changing macro environment, and we believe that insurance continues to be one of the better positioned industries in uncertain times. This, together with strong execution and focus from the Duck Creek team helped drive the quarter’s positive results. Overall, we are encouraged with our recent performance and the opportunity ahead of us for the remainder of fiscal 2023. We are certainly mindful of how fluid and uncertain the macro environment is, but we are confident in Duck Creek’s ability to drive continued profitable growth with our products that are critical for the insurance industry as they migrate away from legacy applications and adopt modern cloud solutions. On today’s call, I’ll provide some color on what we’re seeing in the market, highlight some key wins in the quarter, update you on progress towards some of our key priorities this year and highlight an important and strategic acquisition that we signed this week. Let me start with a quick overview of our financial results for the first quarter, which exceeded our guidance on both the top and bottom line. For the quarter, we reported total revenue of $80.6 million, up 10% year-over-year. And this was underpinned by subscription revenue, which is our revenue derived from SaaS of $43.8 million, up 23% year-over-year. Our annual recurring revenue or ARR was $180.6 million, which resulted in 24% growth over the prior year. And we are also profitable in the quarter with adjusted EBITDA of $3.2 million, our 16th consecutive quarter of profitability. We believe our best-in-class SaaS platform continues to address many of the most pressing business challenges facing P&C insurers. Modernizing their core systems enables insurers to respond to market changes with innovative new solutions more quickly and provide a better customer experience more efficiently and cost effectively than legacy solutions can. Duck Creek OnDemand’s ability to positively impact a carrier’s top and bottom line ensures that we remain a strategic investment priority even in challenging economic conditions. As we discussed on recent earnings calls, we have been confident that the various headwinds facing the economy, including inflation, geopolitical uncertainty and supply chain delays would largely be transitory issues for the P&C industry. Our confidence was driven in large part because the mandatory nature of insurance in many facets of life. In most cases, insurance is a requirement to operate a business, own a car or carry a mortgage, making it a nondiscretionary expense for most businesses and households. When you combine this with the ability of carriers to take rate increases to offset cost pressures in their business, we believe their willingness to invest in new technology solutions would improve. So, while the economy remains uncertain and new spending continues to receive additional scrutiny, we believe our improved performance over the past two quarters has proven our thesis to be correct. In the first quarter, we signed nine SaaS deals for a variety of our core and strategic insurance solutions with new and existing customers of all sizes. This includes a strong start, closing reinsurance management deals following the acquisition of Ephesoft. We are pleased with the pace and the mix of business in the quarter, which was an important demonstration of the success of our land-and-expand go-to-market model. Here are some highlights which reflect the breadth of our success. We made important progress on our objective to migrate on-prem customers to the cloud, signing HUB International, a global top five insurance brokerage, to migrate policy, billing and insights to Duck Creek OnDemand. A customer since 2011, HUB chose to move to the cloud to further optimize customer service and maximize operational efficiencies, while removing administrative overhead by automating workflows on the Duck Creek platform. This is a great example of the types of migrations we can look to. It highlights the growing interest among on-premise customers in deploying cloud solutions. We are pleased with the progress we have made with migrations and expect this to be an important growth driver for Duck Creek in the coming years. We had an another exciting win with a prominent Tier 1 insurer who selected Duck Creek Policy, Billing and Insights to modernize one of their strategic commercial line portfolios. Our ability to move with speed and agility, along with our demonstrable depth in their use cases made Duck Creek a standout technology provider. This Tier 1 insurer was impressed with our software, service and hands-on support, and they chose Duck Creek because of our specialization in the commercial and specialty segments. We had a particularly strong quarter with our Distribution Management and Reinsurance Management solutions. We signed 3 new Distribution Management, or DM deals, in Q1 and including a significant DM agreement with one of the world’s largest Tier 1 P&C insurance companies. This global carrier has one of the largest networks of producer relationships in the industry and will leverage Duck Creek’s Distribution Management solution to bring even greater value to their channel partnerships. The ability to more effectively manage and communicate with agents has become increasingly important to many carriers, given the pace of change in the industry. Duck Creek is leading this category as our largest competitors and many other P&C insurtechs do not have an offering in this space. As I mentioned earlier, we had a great quarter in Reinsurance Management, or RM, as well. We signed 2 Reinsurance Management deals in the quarter. Our first deal was a cross-sell win with Core Specialty Insurance, an existing full-suite Duck Creek OnDemand customer. We also had an RM deal that added a significant Tier 1 P&C U.S. insurer as a new Duck Creek SaaS customer. This is a great example of how Reinsurance Management can provide a new entry point into a new customer and provide us an opportunity to expand our relationship in the future. Both of these reinsurance wins are notable for the speed of which we signed them as they were originated and completed in less than 6 months following the closing of the Ephesoft acquisition. We remain very excited about the opportunity in reinsurance, and we continue to receive strong customer feedback on the breadth and depth of our solution in the market. These Distribution Management and Reinsurance Management wins with existing customers are also a great example of the sizable cross-sell and upsell opportunity we have with our more than 100 existing SaaS customers. Another great example where Duck Creek is adding value to our existing customers is with Hollard Insurance, a leading international insurer who expanded their Duck Creek OnDemand deployment in Australia to include our global policyholder solution. Our policyholder solution will enable Hollard to improve real-time service to their premium paying customers through a modern digital channel. We also continue to enable customer success by quickly bringing customers live on the Duck Creek OnDemand platform with 8 new implementations going live in Q1. Two notable go-lives in the quarter were: Novo, an exciting new innovative insurtech auto insurer who went live with Policy, Billing and Insights as part of their launch. Novo has a mission to redefine, reimagine and reinvent the insurance industry by shifting the power dynamic back to the consumer. A key part of their decision to deploy Duck Creek is our reusable and scalable deployment framework and architecture, which will enable them to deliver on their multistate rollout plans as quickly as possible. FCCI, a leading commercial and casualty insurer, went live with our Distribution Management solution, which when fully implemented, will make it dramatically faster and easier to onboard and manage the agent appointment process. We now have nearly 75 customers live on one of Duck Creek’s core or strategic insurance SaaS solutions, which is roughly 75% of our Duck Creek OnDemand customer base. Our ability to get customers into production quickly often in only a few months is a key competitive differentiator and a significant value driver for insurers. On the product front, we continue to deliver leading insurance capabilities to our customers as part of executing on our road map. Our teams also remain focused on delivering core technology enhancements that will better enable and smooth the on-prem to on-demand transition. Automation is a key focus across our platform, and our product and engineering teams continue to improve end-to-end suite-wide connections to bring operational ease and efficiency to Duck Creek OnDemand customers. In addition, we released several product enhancements in the quarter. The following three will help further our goal of expanding our strategic insurance solutions and expand internationally. We extended our leading Reinsurance Management solution to provide more functionality for international insurers, including the improved management of claims incurred but not reported, or IBNR; enhancements to our inuring update calculations and supporting international rate accommodations. We also launched a new line of business offering that will help insurers capture market share of the fast-growing pet insurance opportunity in the UK, which is expected to exceed £1.5 billion of gross written premium by 2025. The pet insurance market is still in its early stages of customer awareness, so we have developed an easy-to-use solution that combines relevant content, including 4 standard pet insurance plans, prebuilt partner integrations to enrich pet-related data and out-of-the-box mobile-first digital journeys for sales, service and claims. We also launched our Policyholder OnDemand product internationally. As mentioned earlier, Policyholder will be deployed at Hollard Insurance as a charter customer in Australia. I’m very excited to announce that we further expanded our product footprint with the acquisition of Swiss-based Imburse, an exciting technology start-up who is connecting insurance to the global payments ecosystem with a modern digital payment gateway platform. Through this acquisition, Duck Creek will simplify the payment process for insurers by providing technology that easily integrates into multiple PSPs and digital payment options, providing greater choice and flexibility to customers. Imburse’s out-of-the-box offering allows insurers to go to market faster at lower cost with a broad range of payment provider choices. This is a natural extension of our product vision to create solutions that solve critical business challenges facing insurers and their policyholders. Imburse offers a cloud-native platform that is purpose-built for the insurance industry, and we are confident that it will fit seamlessly into our land-and-expand go-to-market strategy. Our plan is to integrate the Imburse SaaS payment gateway platform into our Duck Creek OnDemand offerings and fully enable the use cases for premium payments, claim payments, agent and broker commissions, reinsurance fees and insured policyholder payments. This will unlock substantial value to our customers, and it’s also a fantastic growth opportunity for Duck Creek. Overall, it was a terrific first quarter, and we’ve gotten off to a strong start in fiscal 2023. While we remain mindful of the macro environment and recognize that market conditions continue to create cautious buying behavior, we are executing well, and we believe that we are well positioned to deliver on our key financial and operational objectives for the year. We are encouraged by the continued growth of our pipeline and customer interest in core systems modernization. We remain confident that this will continue to be a top investment priority in the P&C industry for many years to come and will support strong, durable and profitable growth for Duck Creek. We are excited about the opportunity in front of us and are focused on delivering significant value for our customers and shareholders. I’d like to finish by thanking all of our employees, partners and customers for everything they do to make Duck Creek successful. With that, let me turn the call over to Kevin to walk you through the numbers. Kevin, over to you.
Kevin Rhodes: Thanks, Mike. Today, I will review our first quarter fiscal 2023 results in detail and provide guidance for the second quarter and full year of fiscal 2023. First, I’ll briefly comment on the pending acquisition of Imburse. We are really excited to have the Imburse team join Duck Creek. This is another strategic acquisition that we believe will position us well for the future as we integrate this technology with our core offerings. Now, let’s cover Duck Creek’s strong first quarter results. SaaS annual recurring revenue, or SaaS ARR, at the end of the first quarter was $180.6 million, up 24% year-over-year and up $11.3 million or 7% sequentially. The strong performance in SaaS ARR primarily reflects a strong start to the year for our business as well as approximately $1.8 million from contracts that were signed in the last two weeks of the first quarter that would not have been normally reflected in SaaS ARR under our prior calculation. As a reminder, starting this quarter, we have updated the calculation for SaaS ARR to be the annual value of all active contracts in force at the end of the quarter, and the calculation is not dependent upon a full month of revenue recognition in the quarter. We believe this better represents our future expected revenue and will eliminate the timing impact of deals that are signed at quarter-end. We also think this is a more transparent metric. Total revenue in the first quarter was $80.6 million, up 10% from the prior year period. Within total revenue, subscription revenue, which is comprised fully of our subscriptions to our SaaS products, was $43.8 million, up 23% year-over-year. In the first quarter, subscriptions represented 83% of our software revenue. Revenues from on-premise software licenses was $1.8 million and maintenance was $7.2 million. This represented 11% of total revenue and was in line with our expectations. We expect these line items to continue to decrease as a percentage of revenue, given the strong growth in our subscription revenue and the growing interest in our cloud migrations among existing on-premise customers. Services revenue was $27.9 million, down 6% year-over-year. The year-over-year revenue reduction reflects our ongoing efforts to have our systems integration partners manage an increasing portion of our implementations, while we focus our services teams on delivery assurance and the higher value-added components of a project. We’ve undertaken a conscious effort to make this a reality. SaaS net dollar retention in the quarter was 107% and in line with our expectations. SaaS net dollar retention is likely to continue to be below some of the historic levels that we have seen, in large part due to the fact that on-premise migrations are not typically captured in our retention calculation. That has historically been a small part of our overall bookings but is expected to increase going forward as it did in Q1. Now, let’s review the income statement in more detail. These metrics are on a non-GAAP basis, unless otherwise noted. And we provided a reconciliation of GAAP to non-GAAP financials in our press release. First, on a GAAP basis, our gross profit for the quarter was $43.4 million and we had a loss from operations of $6.6 million. We had a net loss in the quarter of $5.2 million or $0.04 per share based on a weighted average basic shares outstanding of 132.7 million. In our financial tables, you will notice a $645,000 expense related to severance. This was related to a modest workforce reduction we undertook at the end of November. We expect annualized cost savings from this action to be several million dollars. Turning to our non-GAAP results. Gross profit in the quarter was $46.5 million or a gross margin of 57.7% compared to 60.1% in the first quarter of fiscal 2022. Subscription margin in the quarter was 65.3% compared to 63.3% in the first quarter of fiscal 2022. As a reminder, there can be quarterly variations due to the timing of when revenue recognition begins for certain contracts and the timing of expenses at the early stage of new deployments. We believe our subscription margins are an important demonstration of the scalability, ease of use and performance of our SaaS platform. Professional services margins were 35.8% in the quarter, in line with our expectations and our long-term target of the mid- to high 30% range. We continue to balance sustainable utilization rates and our ongoing efforts to increasingly leverage our systems implementation partners. Turning to profitability. Adjusted EBITDA in the first quarter was $3.2 million, which was ahead of our guidance, primarily due to better-than-expected timing of revenue in the quarter and our ongoing discipline around expense management. This represents our 16th quarter of adjusted EBITDA profitability, an important indication of our ability to profitably generate high levels of subscription revenue growth. Non-GAAP net income per share for the quarter was $2.6 million or $0.02 per share based on approximately 137.4 million fully diluted weighted average shares outstanding. Turning to our balance sheet and cash flow. We ended the quarter with $264 million in cash, cash equivalents and short-term investments, and we remain debt free. Free cash flow in the first quarter was negative $7.4 million, which was a meaningful improvement from negative $25.5 million in the first quarter of fiscal 2022 due to improved cash collections and overall working capital benefits. I would now like to finish with guidance, but first, let me add some color on the acquisition of Imburse. In terms of timing, we anticipate closing the transaction within the next 30 days. We are excited about this acquisition from a product and technology perspective as it will add to our lineup of modular strategic products that are integrated with our core platform. From a contribution perspective, Imburse has been operating as a startup. We anticipate it will contribute several hundred thousand dollars of subscription revenue and will negatively impact EBITDA by approximately $3 million, which is being included in our guidance today. We do expect Imburse to be EBITDA positive in fiscal 2024 as we launch it as a stand-alone product to the U.S. and have it integrated into our core suite. Inclusive of Imburse, we expect our second quarter results to be as follows: total revenue of $79.5 million to $81.5 million; subscription revenue of $43.5 million to $44.5 million. This equates to about 16% to 18% subscription revenue growth after taking into consideration approximately $2 million of onetime subscription revenue in the second quarter of fiscal 2022 related to a contract buyout. We expect adjusted EBITDA of $4 million to $5 million as we had some expenses defer from the first quarter and into the second quarter, and we will pick up some of the incremental expenses from the Imburse acquisition. That said, we are looking to -- for acceleration of EBITDA in the second half of the year. And lastly, our non-GAAP net income is expected to be in a range of $3 million to $4 million or $0.02 to $0.03 per fully diluted share. For the full year of fiscal 2023, we are raising our guidance as follows: total revenue of $331 million to $338 million; subscription revenue of $177 million to $181 million; adjusted gross margins are projected to be at 60%; we expect adjusted EBITDA of $26 million to $28 million, an increase from our previous guidance; and lastly, our non-GAAP net income is expected to be in a range of $17 million to $19 million or $0.13 to $0.14 per fully diluted share. We continue to take a prudent approach to forecasting deal close rates. While our go-to-market team did a great job in the fourth quarter and now again in the first quarter, we are continuing to adapt to the increasing scrutiny on all transactions. And while we are encouraged by our performance, the macro environment remains fluid, and we believe it’s too early to assume further improvements. To wrap up, we are pleased with how we performed in the first quarter and our position heading into the remainder of the year. We’re at the early stages of a global growth opportunity and believe that we are well positioned to build upon our results in fiscal 2023 and beyond. And with that, we would now like to open the call up to questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Dylan Becker of William Blair. Please go ahead.
Dylan Becker: Hey, guys. Thanks for taking the questions here. Maybe on the macro, starting off, Mike. Maybe some of the puts and takes you guys are seeing in hearing from customers. You’re starting to maybe see rates go up for the first time. You may be seeing some of that inflationary pressure ease slightly relative to used autos and some others. We’re clearly not out of the woods yet. But how should we think about that landscape evolving over the next, I don’t know, what, 6, 12 months and unlocking some of that willingness for modernization? Maybe that has been somewhat of a gating factor that led to some of the elongations we saw in the last couple of quarters.
Mike Jackowski: Yes. Thanks for the question, Dylan. Yes, we -- as we’ve communicated all along, we’ve seen -- we’ve continued to see a strong demand in the environment and interest from insurers to invest in their technology. But we are seeing, as you indicated, that they are adapting to changes in the market conditions. And really, this comes down to their ability to recapture their loss cost pressure by taking more rates in the industry. Now, we are seeing the carriers on the commercial side of the business are getting some rate more quickly. We saw the earlier half of the year, carriers were able to get more rates in. On the personal lines or consumer lines, it takes a little bit longer just because of the regulatory environment. There’s a little bit -- there’s more challenges getting rates through there. But overall, what I would say is insurance companies typically have just a long-term horizon and they look at investing over the long term. And I think they are getting more comfortable. But with that, they’re keeping top of mind transformations, cloud deals. We think that the environment has improved a bit from a year ago, but we also recognize it’s still a challenging environment and deal cycles do remain elongated today. But we do feel better about it, and we feel like we’re operating very well under the current conditions right now.
Dylan Becker: Got it. Yes. I think that’s evident in the results but it’s good to hear as well. Maybe switching over to the Imburse acquisition, too. Could you dig into, again, obviously, insurance is a complex landscape, but the complexity of payments in this ecosystem relative to maybe other verticals and how it can unlock? I think there was a lot of information on their website around things like parametric insurance, things that can be unlocked with kind of some of that real-time payment capability. Could we dig into that a little bit? Thanks.
Mike Jackowski: You bet. And when insurers really look at how they have to work with payments technology, there’s a couple of things that they’re really looking at. They’re looking at, first, how do they plug into various PSPs or payment service providers and what are the best ways to connect? The second thing they look at is the overall workflows on behalf of the premium paying customer, whether they’re paying their premium or receiving a claim payment or with their distribution channel. And then finally, what they look at also is overall reporting and balancing and reconciliation of those payments. And so Imburse, what they do is give us a nice way to plug into those PSPs, manage that overall insurance processes and those workflows as well as all the reconciliation and reporting. And this is certainly an issue that carriers are always dealing with. And having these capabilities preplumbed into our backplane, where in our SaaS solutions, we can manage the processes of policyholder payments and claim payments and even managing commission payments back to the agent, we think this is a real strong opportunity for Duck Creek.
Operator: Our next question comes from the line of Saket Kalia of Barclays. Please go ahead.
Saket Kalia: Mike, maybe just to start with you. That was like some good traction with those strategic products that you mentioned, Distribution Management and Reinsurance Management. I was wondering if you could just dig into those products a little bit for us. Remind us how those products are priced, maybe a little bit about the competitive landscape. And also, if tactically those tools can also work with your competitor core solutions. A lot there. Does that make sense?
Mike Jackowski: It does, Saket, and I’ll be thrilled to talk about it. I’ve always talked about our strategy is a land-and-expand strategy. And beyond just the core solutions, we have been looking for opportunities to expand in strategic solutions for carriers where they have a complex business problem to solve. And it’s still a very sticky asset. It can run standalone but it also works by being highly integrated to the core so that we can have a strong attach rate. And in the case of Distribution Management, what this does is help insurers manage their overall distribution channel how to market to and identify new agents and brokers, how to appoint them and onboard them, how to do the contracting with them. And then once you get them onboarded -- and doing the contracting with them, there’s also an appointment process through the regulatory bodies that we’ll go manage as well. But once that they’re contracted, we also have to manage your commission payments. And then also, you have to have this ongoing management and looking at their performance and data behind how your channel is performing. So, it’s really an asset that helps carriers really take one of their most strategic assets in the channel partners and manage it effectively. And then on the reinsurance side, this is an asset that we sought out because we know that reinsurance, just given the fact that insurers are trying to manage risk more effectively, trying to manage capital more effectively, so we’re seeing a growing need of more complex reinsurance contracts as they’re trying to manage their risks. And as somebody in the industry once told me, insurance runs on reinsurance. So, we sought the asset out over from Ephesoft, and it was a great acquisition for us, and we can see the momentum already because insurers have a lot of manual processes in managing their reinsurance. And we’re seeing some really nice take-up, and I’m thrilled with the wins that we had in the quarter.
Saket Kalia: Got it, got it. That makes a lot of sense.
Mike Jackowski: Hey Saket, then the final question on integrating with our competitors. That’s what we love is these assets, they stand alone and they’re engineered to stand alone. Now, we’re integrating them tightly with Duck Creek, but we’re also finding because many of our competitors don’t have these assets, it’s a great way for us to land in there, build a relationship. Now, we’re a part of the carrier’s fabric, we’re in the halls and then we have a better opportunity to expand other assets as well. So, we think it’s a nice way to penetrate into the accounts where some of our competitors already exist.
Saket Kalia: Got it. That makes a lot of sense. Kevin, maybe for my follow-up for you. I was wondering if you could just talk about how much maintenance to SaaS conversions contributed this quarter to net new ARR. And either qualitatively or quantitatively, maybe how you think about the pipeline of that -- of those conversion opportunities through this year.
Kevin Rhodes: Yes, Saket, happy to. Let me cover the pipeline first and then I’ll go back to the quarter. First, we’re seeing tremendous energy and interest from our on-prem customers. As we talk to them about our road maps, as we talk about the opportunity to go into the cloud, there’s a lot of excitement about that. So, that’s good. In the quarter, we had what I call a couple of meaningful ones, one that we didn’t talk about, one that we did talk about. I don’t want to break down exactly the amount, but I would just say that they were meaningful in the quarter. And you can see that a little bit within net dollar retention. Well, I’ll just remind everybody that migrations typically are not net dollar retention but they are in ARR. And so, when we look at ARR, that obviously includes everything, all deals done and that was an exciting part of our quarter and ARR is getting a couple of these migrations in. So we’re continuing to see strong interest there, and we’re tracking with our expectations.
Saket Kalia: Got it. And Kevin, I’m so sorry, if I could just slip in one just based on that comment just on not being included in the NDR. Generally speaking, not just for the quarter but generally speaking, what’s sort of the multiplier, right, on a SaaS contract versus maintenance that maybe you’ve seen historically?
Kevin Rhodes: Sure, Saket. I mean, it depends on each customer. And remember, there are some of these customers that are on term-based licenses. Some are paying for the original license and some are on maintenance contracts where they paid for a perpetual license historically. But let me just state, on average across the board, roughly about 2.5 to 3 times is what we’re seeing a customer uptick, if you will, on a gross basis, meaning how much we have already a maintenance would say, it’s $1 million would be 2.5 to 3 times that on the new deal.
Operator: Our next question comes from the line of Parker Lane of Stifel.
Parker Lane: Yes. Hi guys. Thanks for taking the question, and congrats on the quarter. Mike, I noticed that the Insights product was part of your prepared remarks around two new deals and one of the go-lives during the quarter. Can you just talk a little bit about why that product in particular is resonating right now? And then more broadly, if you look at the base, what do the attach rates look like on that today? Is that something that you feel pretty optimistic about going into 2023 here that you can permeate more within that existing customer base? Thanks.
Mike Jackowski: Yes. Parker, Insights is a very important product for us and for our customers. What Insights really is you think about an enterprise-wide data warehouse for an insurance carrier where they can see all of the data, how they’re performing, the amounts of products that they’re selling, their loss ratios, even distribution and how their agency channel is performing. And so anytime a carrier buys a core system from us, Policy, Billing or Claims, typically, they’re also asking the questions of how can they have better views of their data and how can they look at that data more holistically across the organization. So, Insights doesn’t just source the data from Duck Creek. Carriers quite often land data from other systems, even legacy systems into our Insights platform and it really just gives them more of a 360 view from a data perspective of their overall business. And then quite often, it serves as a conduit the way carriers will integrate with downstream systems. And there’s a lot of complexity in how they have to do it in terms of sending the financials down to their back office systems and general ledger and those types of things, and it serves as a conduit for that as well. And that’s why the attach rate of it is quite high. I don’t have the specific number in front of me, but I would suspect it’s over 70% of our core solutions that bring Insights along in terms of the demand that we’re seeing out there when we sell a new deal.
Parker Lane: Got it. Understood. And then, Kevin, quickly, at the end of your prepared remarks, I believe you referenced a modest workforce reduction done at the end of November. Can you maybe talk about what sort of roles were eliminated there? Who was most affected within the organization and if any of that was on the go-to-market front? Thanks.
Kevin Rhodes: Yes, sure. So no, it was not on the go-to-market front, I would say. As we think about our business and we think about as we look across the organization and make sure that we are -- making sure that we’ve got the right investments in the right places and we have the right prioritization across the board, we were realizing that we had some misalignment across the board in certain areas. Some of it was related to COGS, so we had a little bit of a benefit in the staff ops side. And then the rest of it was non-go-to-market. I want to be very clear, even really non-innovation non-go-to-market. And so -- but it was very small. I would say it was relatively small but will give us some growth in the back half of the year. And I would note that some of our benefit that we get with EBITDA, right, so we’ve got Imburse kind of taking $3 million out of EBITDA this year, but yet we raised by $1 million, and so we’ve got a $4 million improvement in EBITDA this year. And that’s a clear indication that we’re taking that reduction in force to the bottom line throughout the year, which I think is the right thing for us to do in this environment.
Operator: Our next question comes from the line of Alex Zukin of Wolfe Research.
Strecker Backe: Hey. This is Strecker on for Alex. Thank you for taking our question. Can you break down how much of your ARR base is core versus noncore as well as the net new ARR this quarter? And then, can you also help us parse out how much came from Ephesoft this quarter? Thank you.
Kevin Rhodes: Yes. So, a little bit of granularity you’re asking for there between the core and the non-core. We actually don’t break down our ARR that way. And the reason why I’ll say is that oftentimes we bundle our products together, so it’d be one price to the customer for a number of different bundled packages together. So, it would be very hard to unbundle that and come up with a separate standalone price for each one of those. So for that reason, but I would say, broadly speaking, the large majority of our ARR would be just based on the pricing and how large the products would be, would be hundreds of our ARR would come from core products. And in terms of Ephesoft, we had a small contribution as expected in the quarter. But I guess like we said last quarter, it’s a smaller company. And we -- I think they had $5 million of ARR contribute last quarter, and it will continue to be a good solid steady improver of our ARR, but it’s one of many different products that we have. But we’re not breaking that out going forward.
Strecker Backe: Okay. Thank you. And then just one quick follow-up. With the new ARR calculation, should we expect any different seasonality throughout the rest of three quarters of the year compared to what we’ve seen in the past? Thank you.
Kevin Rhodes: Sure. No, I do not think so. I mean, just to be clear, what we are doing here is, in the past, we used to -- basically the second half of the final month of any given quarter, we found that those particular deals that we had in the second half, because we had kind of a half month convention of how we were thinking about ARR coming in, that we would not be recognizing revenue on that -- on those deals that came into the second half. Some of it’s provisioning, et cetera. And so, at the end of the day, what we are doing now with changing our ARR definition is any active contracts that we have signed by the end of the quarter will enable us to actually take ARR credit. So, it’s more transparent to you in terms of the deals that we will have in a particular quarter. And we feel like it’s a better meaningful representation of what our future revenue will be.
Operator: Thank you. Our next question comes from the line of Peter Heckmann of D.A. Davidson. Please go ahead.
Peter Heckmann: Just to clarify, Kevin, on Imburse. You said several hundred thousand dollars in revenue, and the time period you’re speaking about was the remainder of this year?
Kevin Rhodes: Correct, Peter. That’s right. It’s small and it’s just getting started, and they, quite frankly, had built out all the technology, but not built out all the go-to-market. But we love the technology and we think it’s going to snap in really well to the company and snap into all of our core products. And then we can really use our go-to-market engine to drive this company in the future. And we’re just super excited. We’re really, really happy with the technology purchase there.
Mike Jackowski: So Peter, just to be clear, it’s Mike, the revenue contribution and the EBITDA impact for the fiscal year is the time that we noted.
Kevin Rhodes: That’s right.
Peter Heckmann: Got it. Okay. That’s helpful. And then just how are you thinking about free cash flow for the year versus your annual EBITDA guidance? Can you talk a little bit about how you’re thinking about that?
Kevin Rhodes: Well, I mean, we had a better quarter in Q1 versus the prior year. I think $7 million this quarter and $25 million negative cash flow quarter. And if you look at the last two quarters prior to that, we were generating somewhere around $15-or-so million each quarter. So, we’re not going to guide. We can’t guide and we’re not guiding on free cash flow going to the year because you never know what changes in working capital will cause that change. But I’m pretty pleased what happened in Q1, and I feel like we will be positive for the year, certainly from a free cash flow perspective for the full year. I can probably give you that.
Operator: Our next question comes from the line of Rishi Jaluria of RBC.
Rishi Jaluria: Wonderful. Thanks so much for taking my questions. First, I want to drill a little bit on migrations. It sounds like you’re getting some solid momentum there. To what extent is that a function of you as a company focusing more on it versus maybe providing additional incentives versus just the market and customers being more ready for that? And then, I’ve got a follow-up.
Mike Jackowski: Rishi, I would say it’s all of the above. But there is no question that it was a really big event when we had our formation event last year and we went through our overall plans, our road maps, where we’re investing in our products. And I think our customers now really understand that all of the innovation that we’re really driving is in our cloud product today. And we’re being a lot more transparent on our road maps, and we’re walking through in terms of all of our plans in terms of the investments that we are making in the product. So, that’s creating some energy. At the same time, I think most insurers know that they have to have -- CIOs of insurers know they have to have a cloud strategy of some sort. Data centers are starting to age. Servers are starting to age out and need to be replaced, and I think that’s causing more interest as well. And then finally, when I just go look at the backdrop of our customer base and us talking with them and focusing in on some sales motions, where we’re having road map sessions with them and actively selling to them and then talking about the merits of making the upgrade go away and not spending all your resources on upgrading, I think that’s triggering more interest as we have the sales motion. And then time to time, we’ll work with customers and make some investment in the account, if there’s some technical data or some inhibitor for them to do a contract. But anything that we can do to kind of move a deal along and have a win-win for both of us is what we’re focused on.
Rishi Jaluria: Got it. Thanks. That’s helpful. And then when I just think about some of the momentum that you’re seeing in Distribution Management, Reinsurance Management, at least preliminarily, what does that uplift for a deal look like? In other words, if you had a customer that was maybe $5 million in SaaS ARR and then you were able to cross-sell DM and RM to them, what would that uplift look like? Thanks.
Mike Jackowski: Yes. When we look at those assets for a like-for-like carrier, obviously, anytime we do a core deal, we’re typically talking about low-single-digit millions of ARR contribution, sometimes mid-single-digits in a single transaction, somewhere in that neighborhood. When we’re selling RM or DM, it’s typically in the hundreds of thousands, sometimes in the mid- to high hundreds of thousands. And we’re getting some deals that are encroaching upon a 6-figure deal. So, it depends on the size of the carrier, the global scope of what they’re looking at, sometimes we’ll transact our way up to those amounts. But we are seeing some very meaningful size deals that are out there. But broadly, think of our core transactions of being millions of dollars of ARR contributors, RM and DM independently, high hundreds of thousands of dollars or mid-hundreds of thousands of dollars contributors.
Operator: [Operator Instructions] Our next question comes from the line of Alex Sklar of Raymond James.
Alex Sklar: Thanks. Mike, I kind of want to go back to your macro commentary tonight, especially kind of related to how it was last quarter. It sounds like you’re still baking some caution to the outlook. But given Q1 is not really a seasonally big quarter, what do you think changed intra-quarter that drove the higher ARR results? And was there any pull-forward of pipeline that you thought was going to close in the second quarter?
Mike Jackowski: Yes. Alex, we were pleased with our bookings and what we got done in Q4 and what we got done in Q1, right? So I won’t say that, that ARR, I mean, we anticipated that we would do pretty well so that’s not a surprise and we’re pleased by it. I’m not going to suggest that the environment has changed tremendously from last quarter. I think we’ve adapted to the environment quite well. And then, we also have been working on some deals that are coming through the pipeline that we see and gives us confidence for the remainder of the year. But I also think, as we set out for even the full year with our overall plan, we adjusted for the current market conditions. I think it’s unfolding as we expected. We are seeing carriers again take rates. And they are doing deals. Now, on the Tier 1 side, we have seen the deal size, the initial deal size come down a little bit from what we historically saw, call, 24 months ago. But I think -- so we could still see that the buying behaviors are a little bit different and there’s a little bit of delay in the time frame. So I think, again, we’ve adjusted to it. So, we haven’t seen it deteriorate more at all and we think it’s improved moderately. So again, we’re still a bit cautious and we’re watching it closely. But, it feels better today than it did 12 months ago, that’s for sure.
Alex Sklar: Okay, great color. And Kevin, on the subscription growth guidance for second quarter, I know there’s less days in the quarter. I think we usually see a bit more of a step-up versus Q1. Is there anything onetime that was in the Q1 subscription number or that might be reversing, or any known churn or kind of renegotiations in the second quarter to be aware of?
Kevin Rhodes: No, I can’t call out anything that I would say is different or seasonally changing from the first quarter into the second quarter. The only thing I would say is the comparable from last year, and I put this in my commentary. So I want to make sure you got it. Last year, the year-ago quarter, we had that $2 million kind of onetime contract buyout. So, the comparable year-over-year is going to be slightly more difficult in the second quarter of this year. But other than that, thinking back a year ago, that’s it.
Mike Jackowski: I think one thing I would even -- I would also like to note is we did get some deals earlier in Q1 than we anticipated that contributed to Q1 revenue. We knew that they were going to close but they came in earlier. So, we kind of exited -- had an exit rate that was a little stronger, and that’s why we beat our Q1 guide.
Operator: Thank you. At this time, I’d like to turn the call back over to CEO, Mike Jackowski, for closing remarks. Sir?
Mike Jackowski: Okay. Thank you, everyone, for participating in our Q1 fiscal year ‘23 earnings call. As I said, we’re off to a great start to the year, exceeding all of our key operating metrics. And I feel we’re well positioned to achieve our key financial and operating metrics for the year. We’re also thrilled to announce the acquisition of Imburse, which positions Duck Creek to take advantage of the billions of dollars of premium payments, claim payments and agency commissions that we manage every year. And Imburse will also help assist in our ambition to continue to expand globally. We’re positioned for the rest of the year with terrific momentum as we finished Q1 with a SaaS ARR of $180.6 million, which is up 24% year-over-year. So, let me just wrap up and again by emphasizing that we have an enormous opportunity in front of us as the industry continues to transition solutions to the cloud. So thank you, and have a good evening.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.